Christopher Eger: Good morning, and welcome to Resolute Mining's Q2 operational results. I'm Chris Eger, your CEO. And today, I'm welcomed on the call by Dave Jackson, our CFO; and Bruce Mowat, our Head of Exploration, who is available for Q&A at the end of the presentation. And starting with Slide 3 in our presentation, we believe Resolute Mining had a very strong quarter again with very healthy production of 75,962 ounces, which is similar to what we performed in Q1 at a cost of $1,668. The business continues to perform very strongly on cash flow, and we ended out the quarter with a net cash position of just above $110 million. What was really exciting in Q2, though, is that we acquired the Doropo & ABC projects from AngloGold Ashanti, and we announced and closed that transaction on May 1. And then most recently, we also appointed Gavin Harris as the new Chief Operating Officer, who's made a real immediate impact into the business. So moving to Slide 4, I wanted to recap where Resolute operates today. We have 2 producing mines, one in Mali, the Syama mine and another in Senegal, the Mako operation. And we also have 2 exploration countries, both in Guinea and in Côte d'Ivoire. As just highlighted on the previous page, we've made a very exciting entrance in Côte d'Ivoire through the acquisition of Doropo & ABC. But let's not forget that we also have La Debo, which is a very exciting project of 400,000 ounces at 1.2 grams per tonne. But what this means for the business is that whilst today, we're on track to produce 275,000 to 300,000 ounces in 2025, the business has set itself up so that by 2028, we'll be on track to produce well over 500,000 ounces. So we're really forming the basis of being a very attractive diversified gold producer in West Africa with over 16 million ounces of gold. So look, I'm very excited about what we've been building and the trajectory of the business in what will be the complicated geopolitical environment in which we operate today. So let's turn to Slide 5. As mentioned on the previous slides, we acquired the Doropo project from AngloGold Ashanti and announced this deal on May 1. I have to say, I believe this is one of the most exciting projects in West Africa today in which will really transform Resolute to being a well-established premier mining business in Africa. The project remains well on track and the activities in Q2 were robust. We, for the most part, have been hiring a team in order to start the advancement of the Doropo project. The key activities for the rest of the year, though, will be to update the DFS and also to hire the engineering firms to start carrying out the FEED work. But most importantly, we are well into the process of optimizing the pit shells at a higher gold price. And you can see in the second bullet on the left that preliminarily, we see substantial increase in gold at the higher pit shell levels. But when we update the JOR tables in the next month or 2, you'll understand exactly what that means. So again, for the second half of the year, the activities will be to optimize the DFS, which we anticipate will be issued in Q4. We will also be looking to update the reserve tables in the next quarter. And then finally, we expect to complete our permitting process. The permitting process is probably the one area that we have the most concerns on because it's outside of our control. At this stage, all applications have been made. We're at this stage, waiting for a final sign from the ministerial decree, which we expect by the end of the month. Once that's completed, the final stage will be to convey -- sorry, convene an interministeral committee to approve the exploitation permit, which we hope will happen in September or October. Once the exploitation permit is received, though, we will have approximately 90 days to negotiate with the Minister of Mines Office on the exact mining convention that we will follow. And the one complication that we see in Ivory Coast is that today, there's an election in October planned. As you know, when there's elections, time lines can slip, and so we're staying very close to the situation. The other key very exciting activity on Doropo is that we've hired a project director. His name is Rob Cicchini. He's got a wealth of experience. He spent 30 years in the mining sector. Most recently, he was a Project Director at the Azumah Resources Project of Black Volta in Ghana. And then before that, he was the successful Project Director for the Thunderbird project, which was a project built in the Kimberly Mineral Sands area of Western Australia, which he built well under budget and on schedule, and that was a project that was over $300 million. In addition, Rob has 23 years with Lycopodium, obviously, a well-known engineering firm that will likely be used in this project. So again, I think we're at the process today of putting together the right pieces in order to develop Doropo properly. We get a question often about financing. And look, the financing initiatives for Doropo will be kicked off towards the end of this year once we have finalized the DFS and have visibility on the permitting process. It's too premature to start anything at this point in time. But as explained in the past, we anticipate that we will fund Doropo through a mixture of debt and our cash. So turning to Page 6. Let's talk about our Mali operations, specifically around Syama. In Q2, Syama poured 41,000 ounces of gold at an AISC of $2,134. Unfortunately, this is below our expectations as it regards to the fact that in Q2 and still today, Syama is impacted by explosive supply chain issues throughout the country. Just to give a backdrop, today, as we know, Mali is facing security challenges predominantly in the North and the West. What this means, though, is that the importation of explosives and also the transportation of explosives internally is becoming very difficult as it's due to very cumbersome and complicated permitting procedures. So we've been working tirelessly with the government in order to make sure that our explosives are getting the right permits and then we're getting the right transportation with those permits that is proving to be difficult and frankly, outside our control. So in Q2, there were times where we were short of explosives, which impacted the activities in the underground of the mine, predominantly on the development side. So we'll continue to work tirelessly with the government in trying to manage these explosive supply issues. But at this point in time, I see that the sulphide activities will be at the lower end of the guidance from a production perspective for the remainder of the year. When looking at the oxide production, we had a fairly strong quarter on oxides, but we have to remember that the amount of oxides in Syama is diminishing. So moving forward and as we look into next year, the oxide production will continue to drop as we transfer to fully sulphide operation activities. And finally, look, I wanted to have a word on continued sort of dialogue with the government as we know, things in Mali are complicated. But I have to say for Resolute, it's progressing. We continue to engage with the government on moving forward. We are still waiting to hear though from the government a number of documents around the specific terms of the mining convention that we'll be using moving forward. But the discussions, like I said, are productive and constructive, and we're keeping an open dialogue with the government at this stage. So look, all in all, in Mali, I'm still very excited about the potential that Syama has. I'm obviously disappointed in some of the supply chain disruptions that we're facing because it just is impacting the potential of that operation. But as I look to the future, I think this asset has tremendous potential for our business and our shareholders. Moving to Page 7. I wanted to give you an update on our SSC project at Syama or another way you call it the Syama Sulphide Conversion Project. Look, the SSCP project for folks that remember, is a project whereby we are converting our oxide line to process sulphides. Today at Syama, we roughly have 4 million tonnes of processing capacity, 2.6 million tonnes is for sulphides and 1.4 million tonnes are for oxides. We are converting the oxide line to process sulphides. In doing so, there are basically 4 key pieces of equipment that needed to be built and installed. It's a new CCIL circuit, flotation circuit, pebble crusher and then a ball mill. So that's well on track. And what I'm pleased to say is that in the second half of this year, the CCIL circuit and flotation circuits and pebble crushers will start to be commissioned with the ball mill being commissioned in the first half of next year. What this allows for the business is that at Syama, we'll be able to start processing sulphides to the existing oxide circuit this year, increasing the flexibility. So the project is well on track. It's on budget, it's on schedule. This year, we anticipate to spend around $30 million on the SSCP with the last $35 million being spent in 2026. So very pleased with the progress of the SSCP in Mali. And like I said, this will create greater flexibility for the Syama operation, creating a lot more value for our shareholders. And now moving to Page 8. Let's talk a little bit about our operations in Senegal. So starting first with Mako. Mako had a very strong quarter with production of just about 35,000 ounces at an AISC of $972. So again, very pleased with the success at [ Mako ]. It's exceeding all of our expectations. We had a milestone in June, whereby the main mining operations in the original pit ended, and now we are in the process of processing stockpiles. We are fortunate at the end of the mining operations in Mako, we encountered some higher grade ore than expected, which drove to better-than-expected results and therefore, lower AISC costs. So as we look at Mako for the remainder of the year, it's performing very well, and we expect Mako to produce at the upper end of guidance for 2025. However, activities in Senegal are not just about the existing operations at Mako, but more importantly, in the life extension opportunities. So moving to Page 9. Let's talk about the first satellite deposit, which is Tomboronkoto. As we know, Tombo is a site that's been identified for many years, and we are progressing nicely on the development of Tombo with anticipated ore processing in 2028. Tombo is complicated because it has, as we know, a village that needs to be relocated, but we believe that there is well over 400,000 ounces from Tombo that can be processed in the plant. So in Q2, we made good progress at Tombo. We've kicked off the environmental impact studies in the village with the key delivery of an ESIA to the Minister of Mines at the end of this year in order to kick off the permitting process, which will allow for an exploitation permit to be received in the second half of 2026, allowing for the village to be moved as well as additional activities to happen in the surrounding areas. So again, good progress in the Q2 of 2025, and this project remains well on track to start operations in 2028. So very pleased with how Tombo is performing. And now moving to Page 10. To complement Tombo, you will have seen last week that we announced an initial maiden resource for Bantaco, which is a satellite deposit just adjacent to the Tombo deposit. Bantaco is a less complicated area to develop in the sense that we have very limited community involvement in Bantaco. And as per previous slides and information that you may have seen, we have multiple areas of possibilities of ore with regards to Bantaco. We issued a medium resource on 2 areas specifically, Bantaco West and South, which totaled 266,000 ounces. And as we continue into 2025, we will continue to develop and explore these areas. We'll focus on infill drilling. But as both of these areas are still open at depth and on strike, we'll be looking to expand the resource with anticipated updated MRE for Bantaco probably in the beginning of next year, if not sooner. Since the Bantaco project has a lot less, call it, community dynamics than Tombo, we believe that we can get Bantaco into operation flight in 2027 ahead of Tombo. But at the end of the day, between Bantaco, Tombo and our stockpiles, we're creating effectively the flexibility in order to pick and choose what we'll be able to mine in order to extend the operations at Mako for years to come. So look, in the press release, we've highlighted at least 5 years. I think it will be greater than that. But we're seeing really good activity in Senegal and very pleased with the operations to date. So moving to Page 11. I want to talk a little bit about our exploration activities in the quarter because we find this again to be very exciting for the business, and it creates flexibility and optionality for the future. So really a core strategy for Resolute moving forward. Let's start first with Mali. So Mali, look, we spent a bit of money, just over $1 million, but that money was really focused on -- focusing on additional oxides that can add to the mining production mix in the future. In Mali at Syama, since we have such a large footprint, we have lots of different opportunities to mine different areas, and it's important that we gain as much knowledge in what will maximize value to ourselves and shareholders in looking for additional oxides. In Senegal, obviously, the focus continues to remain on Tombo and Bantaco, and that's what we'll continue to do in the second half of this year. But probably most importantly, when we look at our exploration license footprint, in Côte d'Ivoire, today, we have 2 other exciting projects aside from Doropo. It's the ABC project, which today has 2.1 million ounces at 0.9 grams per tonne and the La Debo project, which has 400,000 ounces at 1.2 grams per tonne. So look, at ABC, this is a well-known project that has actually created a lot of interest. It's been partially explored. And so our focus will be to actually do some RC drilling at the Farako-Nafana permit, which is the northern side of the exploration permits at ABC. And I think that will create quite a bit of value for us, and we'll look to announce those results probably sometime next year. And then La Debo with all the drilling that we've done, we're in the process of updating the resource for La Debo and initiating an MRE in the second half of this year. So again, I think across the spectrum, we're doing very well in exploration. It's core to our strategy. I think it's where you actually create the most value for our shareholders, and that's something that we'll be continuing to do for many years to come. So with that, I will turn it over to Dave for a few comments on financials.
Dave Jackson: Thank you, Chris. Today, I'll be walking you through the quarter's headline financial results, highlighting the key performance metrics we're pleased to share with you. Overall, we had a very strong quarter. We exceeded expectations across our core financial metrics for the group. Operating cash flow for Q2 reached $85 million. This was driven by $263 million in revenue and supported by 80,000 ounces of gold sales at an all-time high gold price of just over $3,400 per ounce. Quarterly operating cash flow was approximately $10 million more than Q1. This Q2 figure also includes $46 million corporate income tax payments in Mali and Senegal. These payments are related to taxable income realized in 2024. Net cash at quarter end stood at $110 million, marking a $10 million increase from Q1. This includes the impact of the $46 million in corporate income tax payments just mentioned as well as the $25 million outlay for the acquisition of Doropo & ABC projects at the start of May. We had $47 million drawn on overdraft facilities at quarter end. These continue to be used locally to optimize working capital. You will remember, these facilities were increased to $85 million of availability in Q1 as we continue to maintain financial flexibility for the group. Included in the net cash figure is $62 million in bullion, representing nearly 19,000 ounces of gold that were sold after the quarter closed. Importantly, all gold is being sold at spot prices as we remain unhedged. The group all-in sustaining cost was $1,668 per ounce sold. This represents a $40 per ounce improvement from Q1. This reduction was primarily driven by the strong performance at Mako, where higher-than-expected production and lower operating costs contributed positively. At Syama, all-in sustaining cost was higher than Q1 due to lower production volumes. We expect this to normalize over the remainder of the year. Importantly, top line operating expenses at Syama have been trending down, thanks to the team's continued focus on cost discipline. These benefits will become increasingly evident in H2 as production improves. Despite site level variances, we remain firmly on track to meet our full year group all-in sustaining cost guidance of $1,650 to $1,750 per ounce. Let me now walk you through the key components of our financial results that led to the cash and bullion position of $157 million at the end of H1. We generated a solid $160 million operating cash flow during H1, approximately $30 million higher than the comparable period in 2024. This uplift reflects the favorable gold price environment and the continued success of our cost reduction initiatives across the portfolio. CapEx for the half year totaled $57 million, including approximately $12 million allocated to exploration. This comprised $19 million in sustaining capital across Syama and Mako and $22 million in nonsustaining capital at Syama, of which around $14 million was directed towards the Syama sulphide conversion project. Overall, CapEx and exploration spend was in line with expectations, and we remain on track to deliver within our 2025 guidance range of $109 million to $126 million. As previously noted, we made the initial $25 million payment for the acquisition of the Doropo & ABC projects during Q2. These projects represent exciting growth opportunities for the company and are expected to deliver meaningful long-term value to our stakeholders. VAT outflows for the first half totaled $32 million across both Mali and Senegal. VAT remains a source of cash leakage, but we continue to engage actively with local governments to recover these amounts. Our recent discussions have been positive, and we remain encouraged by the progress being made. We recorded $11 million of working capital inflow for H1, primarily driven by a reduction in stockpile balances. In addition, we made solid progress in lowering consumable inventory levels as a part of our ongoing efforts to optimize working capital. Our ending cash and bullion of $157 million marked a $56 million increase from the beginning of the year. This leaves us with ample available liquidity of over $212 million at the end of H1. In summary, we're in a very solid financial position given the strong H1 results and are excited about the growth potential of the business. With that, I'll hand it back to Chris.
Christopher Eger: So thank you, Dave. Now moving to Slide 14. So look, in summary, very pleased with how we are progressing across the board, albeit with some challenges in Mali and supply chain. So look, we are very much on track for full year group guidance on both production and cost. We continue to generate very strong cash flow, and we had a net cash position over $110 million at the end of Q2, but I expect strong free cash flow to continue to build throughout the rest of this year and frankly, into next year. The business continues to execute on its strategy of geographic diversification and becoming a mid-tier African gold producer, generating well over 500,000 ounces, and we're well on track to do that by 2028 with the portfolio that we have today. We will continue to evaluate M&A opportunities that we've done in the past, although today, I will say we believe that pipeline is very limited. But that being said, we have fantastic opportunities internally to create a lot more value for our shareholders, and we're very excited about delivering on those targets. So thank you very much. And with that, I will now turn it over to Q&A. Thank you.
Operator: [Operator Instructions] Our very first question this morning or today is coming from Richard Hatch from Berenberg.
Richard James Hatch: A few questions for you. Just firstly, just on the explosives situation. So is it the case that you need to increase your inventory levels of explosives so that you've got a bit more of a buffer? Or is it simply that it's, as you say, like a permitting situation, which is just because of the security backdrop and that's just creating issues. I'm just kind of trying to understand like what the risks are as we go into Q3 and Q4.
Christopher Eger: Richard, thanks for the question. So look, it's partially both points. Look, the first one is what happened at the end of last year is our main explosive supplier pulled out of Mali in the Western African regions. So we swapped to a new supplier, and we were able to get explosives in effectively January, February, March, April. And then we were in the process of trying to get more explosives in. And then as a result of permitting disruptions, we were blocked and frustrated. So we are now working to try and get another 3 months' supply in and also focusing on the next 3 months thereafter that. But as I mentioned previously, the issue that we were facing was due to the fact that with the security challenges that are happening in the country, there's a heightened level of rigidity and bureaucracy around explosives. And just finding people to sign documents is becoming very difficult. And then once you actually have all permits in place, the explosive needs to be escorted from wherever they're located at the border or in the capital, the site, and that means you have to find the gendarmes and also present the right documentation. So all of this is creating a lot more work and effort. And because we had to swap suppliers, it was a bit of an unfortunate situation. So look, we're -- we think we're getting it resolved now as we speak so that we don't have disruptions for the rest of the year. But like I know now, we're going to have at least another 3 months of availability, but we're working on the next 3 to 6 months thereafter that.
Richard James Hatch: Okay. Helpful. The second one is just on Ravenswood. I note in the release, you mentioned that the EMR has terminated the sales process of the mine. Just wonder if you might be able just to give an update on that or just get any form of background. I'm just conscious that it could be a bit of upside into the stock that's not really given any value to you in the share price?
Christopher Eger: Yes. Look, we don't have much more than what's in the public domain. So there's not much more I can say except that what we heard from EMR Ravenswood is that they didn't receive the value that they were expecting from the sales process because they ran into some operational challenges in Q1. So they decided to pull back on the sales process and effectively get the business -- their business back on track and maybe look to relaunch it next year. Our key focus with Ravenswood is that we're a creditor. The for the VFPN, they'll owe us about AUD 70 million. And so we're monitoring that payment, which is due in 2027. But look, the way we think about Ravenswood is that business is producing enough goal that it will be okay. It's just a matter of what the private equity owners want to do with regards to selling it, maybe going the IPO route. Unfortunately, we just don't know much more than what you know in the fact that they've just pulled the sales process. And look, we're staying close to them making sure operation continues to perform. At this point, we don't put into our cash flow forecast until the due date.
Richard James Hatch: Okay. Understood. Just on Bantaco and Tomboronkoto, is the right way to think about this is that you put them in sequence as you say like maybe one comes ahead of the other? Or is the expectation that you could potentially mine both at the same time? And then have you got any kind of steer on costs for the sort of all-in sustaining cost sort of range guide?
Christopher Eger: So look, the way that it's looking at this stage is that Bantaco will probably be available in 2027, and we will most likely then process a mix of the stockpile ore that we have still remaining and Bantaco ore until Tombo comes in. Tombo out of the 3 options has what I call the highest grade ore, the best ore for the plant. So once Tombo comes meaningfully on, we'll probably swap over to Tombo, but still thinking about how we blend in all the different other areas. So look, the way we think about it and what I've highlighted before, it just creates just another tool in the tool chest for greater flexibility. I don't have a steer on cost yet. So I don't really want to comment on it, but we'll be making still healthy margins at this gold price. But look, as we complete the DFS for both projects, we're hoping by the end of the year that we provide a bit more specifics on the production rates as well as the cost profile. But like I said, right now, we have well over 600,000 ounces. We think that's going to grow substantially and that will create at least 5 years more of operations. But I just don't know yet the specifics on the numbers until we complete those DFS studies.
Richard James Hatch: Okay. Cool. Just one for Dave. Just on working cap, just in the first half, you had a bit of a release of working cap because the stockpiles processing. I guess at Mako, you basically moved fully into stockpiles processing. Is that going to create a bit more of a working cap tailwind in the second half?
Dave Jackson: Thanks, Richard. You are bang on the stockpiles. You'd expect the stockpiles to be reducing in Mako as obviously, we're just going to be pushing those through the plant. And then we're doing quite a bit of work on the supply chain side as well. So we'd expect consumables to come down as well. So we'd expect in the second half to get a bit more of a push on the working capital.
Richard James Hatch: And then just lastly, I don't know if you're able to give any kind of steer on it. But obviously, the most interesting thing -- well, one of the interesting things you said about Doropo this morning is that, that increased gold price can lift volumes or at least life of mine volumes. Are you able to give us any kind of flavor on that? Or is it just we have to wait and see until you release your definitive feasibility study later this year?
Christopher Eger: I think, Richard, we're going to have to wait. I mean we're going to do it in 2 stages because we can update the JOR tables sooner than the DFS update. The original pits were done at 1,450 and 1950, there's a lot more gold. What we're trying to focus and what we're evaluating is whether we want to redesign the plant capacity because of the additional ounces. We probably won't just because there was some real logic as to why the plant capacity was originally designed at 5.6 million tonnes per annum. But that's why we're all in, call it, discussions with the various consulting firms to decide what we do with the optimized DFS. But look, what we're focused on, and I don't think what will change will be that the near-term production profile will stay close to 200,000 ounces. And effectively, the higher pit shell levels will increase the mine life and just a lot more ounces into the overall project.
Operator: [Operator Instructions] Our next question today will be coming from Justin Chan calling from SCP Resource Management.
Justin Chan: Just a couple of questions. One on the VAT. Are you having the same issues in Senegal as in Mali? And are there any tax offsets? Or should we just -- at least for the near-term model, basically a similar outflow rate going forward?
Christopher Eger: Dave, do you want to take this one?
Dave Jackson: Thanks, Justin. That's a good question. So we are seeing the VAT come back in Senegal. The cash leakage is mainly in Mali. The story is still the same there as it has been in the past, but we are going to see some offset in the future from Senegal for basically all of the VAT that we submit. So really some uplift there.
Justin Chan: Okay. That's helpful. And then I guess, so for this quarter's $32 number, I mean, is that representative of the go forward if the gold price doesn't change? And or the subscription value doesn't change?
Dave Jackson: Yes. I mean we're running around $1.5 million to $3 million a month depending on purchases and all that. So it will fluctuate a little bit, but I mean it's probably going to continue like this for the rest of the year.
Justin Chan: Okay. That's quite helpful. And then I guess in terms of Doropo, could you just remind me -- so the -- I guess you'll rerun the DFS and at that point, you'll go through remaining permitting steps. Could you just remind me kind of what's been done, what needs to be done on the permitting side of things?
Christopher Eger: Justin, it's Chris here. No, look so on the permitting, we're going -- we've launched the permits based off the original DFS and original ESIA. There's going to be multiple mine plans as we continue to learn more about this project. So the optimized DFS is more for a financing initiative at the end of the year and also for firm FID. Like I said, the permits are well underway with applications launched and waiting for obviously signing from the ministry of -- sorry, ministerial decree signing and then we'll move to interministerial committee. So look, that's, again, well underway, and we expect to hopefully have the permits launched by October, but it could slip. So look, that's why the optimized DFS and permitting are independent of one another.
Justin Chan: Got you. And then I suppose -- I mean, I guess the new code is waiting for the election. So it could go one way -- like I guess I'm asking, do you expect to be on the new code or old code? Or is there any guidance there? I guess, suppose, it depends on timing and things.
Christopher Eger: Yes. So look, you may have seen that back in mid-June, I actually went to Côte d'Ivoire, met with the Prime Minister as well as the Minister of Mines with Dave and our Head of Legal. It was very clear in the discussions with the government that they would like us to adopt the new code or parts of the new code, but we don't know what that new code is like. We are actually in consultation with the Minister of Mines and discussing what that new code could look like. But look, as we know, across most of Africa, there's new code being put in place. There's more stringent local content rules, there's higher royalty rates and there's also possibly higher equity ownerships. These are all things that we took account for when we first acquired Doropo. We actually modeled Doropo both of the existing code and the new code. So we're prepared to adopt certain aspects of the new code, but we have to see what those are because we also made decisions on certain points. But we just don't know, right? They're in a period of evaluating. But what I will say is with Côte d'Ivoire as a government, they're incredibly easy to work with. They're logical, they're sensible, and we have a good conversation with them at this point. So I would say I'm very pleased with how we're building that relationships, but I just don't know the exact specifics of what code will be under.
Justin Chan: Yes, got you. And as I understand, the code is -- I guess, the new one is waiting on the election or something to that effect?
Christopher Eger: I don't know. I don't know if that's -- I don't know. I don't think that's the case because they've been working on a new code for some time. It's just when you have elections, people obviously start to disappear for election purposes. But I know that the Minister of Mines office is working hard on the new code and like I said, having consultation periods with us as well as others. So I just don't know how it's all going to be sequenced. But I don't think it's directly linked. And maybe, but I don't know.
Operator: As we have no further questions, I turn the call back over to you. Thank you.
Dave Jackson: Thanks very much, George. So I'm going to pass the call back to Chris for any final closing remarks. Chris, back to you.
Christopher Eger: Thanks, George. And just everybody, thank you for joining our Q2 operations call. Like I said, I think we had a very good quarter. A lot more to come. And so thank you again for your support. Thank you again.